Operator: Welcome to the conference call on the MTU Aero Engines First Half Year Results 2025. For your information, the management presentation, including the question-and-answer session will be audio taped and streamed live and made available on demand on the Internet. By attending the conference call, you grant permission for audio recordings intended for publication on the Internet to be taken. The speakers of today's conference call are Mr. Lars Wagner, Chief Executive Officer; and Mrs. Katja Garcia Vila, Chief Financial Officer. Firstly, I will hand over to Mr. Thomas Franz, Vice President, Investor Relations, for some introductory words.
Thomas Franz: Yes. Thank you, Ralph. Good morning, ladies and gentlemen. Welcome to MTU's H1 2025 Results Call. We will start this call with Lars walking you through some of the important headlines that were made in the past quarter. Katja will then give you the financial overview as well as a deeper look into the segment results. Following that, Lars will wrap the presentation up with some key takeaways before we head into Q&A. With that, I'll hand over to Lars.
Lars Wagner: All right. Thank you, Thomas. Good morning, everyone. Pleased to have you on board. This morning is a little bit different because Katja and myself were the first time that we're doing this conference call together. And obviously, next to me also sits Johannes, whom many of you met in Paris. So he's in listening mode to prepare himself for the next Q3 figures. So let me start with a brief overview of what has been an exceptionally strong first half of the year. Group revenues reached over EUR 4.1 billion, driven by robust growth across both our commercial OEM and commercial MRO segments. Adjusted EBIT rose to EUR 657 million. This results from a favorable business mix in the OEM segment and improved profitability in our MRO operations, also supported by positive mix in customer and products. The free cash flow in H1 came in strong at EUR 212 million, in line with expectations for the full year. These results once again highlight the strength and resilience of our core business performance that fully supports the upgrade to our 2025 guidance as announced at the Paris Air Show. Coming to that event in Paris, which was certainly the highlight in the second quarter. In short, it was indeed a very successful Paris Air Show 2025. One clear highlight was the record-breaking order intake for MTU, reaching USD 1.75 billion. The majority of these orders were the GTF engines powering the A320neo family. The largest single order came from Wizz Air, which selected PW1100 engines to power additional 177 A321neo aircraft for their fleet. This was followed by Frontier Airlines, which will equip 91 A321neo with GTF engines. And in addition, LOT, Polish airlines placed an order for 40 A220 aircraft, all of which will be exclusively powered by PW1500 engines. This outstanding result is a clear vote of confidence from the market in the GTF technology. Another major milestone at the show was the upwards revision of our 2025 guidance alongside the announcement of our ambitious 2030 targets, both based on an exchange rate of $1.10. By 2030, we expect revenues to reach between EUR 13 billion and EUR 14 billion with an adjusted EBIT margin of 14.5% to 15.5%. Our cash conversion rate is projected to reach a high double-digit percentage. All of this reflects MTU's strong market position. Demand across the industry remains high, and we are clearly benefiting from this with our well-balanced product mix in both the OEM and MRO segment. With our sharp focus on growth, operational excellence, innovation and sustainability, we are exceptionally well positioned to shape the future of aviation. We also deepened our partnership with Airbus by signing a Memorandum of Understanding to jointly advance our hydrogen fuel cell concept. This collaboration covers the key technology building blocks required for the engine, the alignment of our respective research and technology road maps for hydrogen propulsion and ultimately, the development of a fuel cell engine for potential hydrogen- powered aircraft. With Avio Aero, we entered another long-term partnership. They will join our collaboration with Safran to jointly develop the next- generation European helicopter engine, which is expected to enter service around 2040. The work share between all 3 partners will be equally distributed, ensuring a balanced and collaborative approach to this strategic program. Support and manage our continued growth, it is essential that we invest in expanding our capacity. Our most recent announcement was the investment in our Fort Worth facility, where we've signed a 30-year lease agreement with the city of Fort Worth, a key step in strengthening our footprint in North America. As part of our long-term strategy, we will invest approximately USD 120 million to modernize and upgrade the site. With the maintenance of the CFM LEAP and GEnx engines, we will develop MTU in Fort Worth from an on-site service center into a fully dissembly, assembly and test facility. In addition to that, EME Aero in Poland reached another important milestone on 30th of June 2025, the site officially opened its second engine test cell. With this expansion, EME Aero will be able to support the maintenance of up to 500 GTF engines annually from 2028 onwards, a significant boost to our overall MRO capacity. Market environment remains positive over the long term. This is also reflected over the short term. In the first 5 months, passenger traffic grew nearly 6% and cargo traffic was up 3%. Allow me to reiterate our guidance 2025 update, which we shared at the Paris Air Show. 2025 has been so far another year of robust market environment and MTU is well prepared to continue on our growth path. Let me just reiterate a few key drivers in our business segments for this year. In our military business, the underlying business remains strong with anticipated growth for the development work for the new generation fighter engines as well as an increase in T408 engine volumes. The EJ200 engine will remain the key revenue contributor in the coming years. EJ200 new engine production is about to grow driven by the German Quadriga and Spanish Halcon order. Further, we expect a significant increase in T408 engine revenues compared to 2024. In the commercial OE business, we see growth across various engine programs. The PW1100G engine deliveries will be the key growth driver, while the output on the GEnx is also growing as Boeing is about to increase the output on the 787. Already very visible in Q1 as well in Q2, we see a higher share of spare and lease engines in 2025 compared to the expectation when we issued our first guidance for 2025. This is contributing to increased profitability as shown in our H1 numbers. The very first engine deliveries for GE9X are anticipated in the second half of the year, while entry into service of the Boeing 777X is expected for 2026. Commercial spare parts growth is benefiting from the strong market environment. We see solid growth in narrow-body engines as well as on newer wide-bodies. The V25 engine, in particular, is well placed here with a high utilization. Spare parts on mature wide- body engines as well as business jet engines are projected to remain relatively stable. In the commercial MRO business, we expect continued growth in GTF MRO work. The PW1100 engine will be a significant driver across all MTU network locations, particularly with the further ramp-up of EME Aero as well as MTU Zhuhai through the start of operations at our Jinwan site. The projected revenue share in our MRO business for GTF MRO is anticipated to be around 40%, with a higher share in the second half of the year compared to the first 6 months. Freighter engines such as the G90 and CF6-80C2 see robust demand from cargo operators. And finally, our MLS engine leasing and asset management business is continuing on its profitable growth path. Let's have a look how this translates into our financials. We raised the 2025 guidance at the Paris Air Show, and we can reaffirm that forecast today. Group revenues are expected to rise to between EUR 8.6 billion and EUR 8.8 billion based on a U.S. dollar exchange rate assumption of $1.10. Within this, we anticipate growth in our military business in the mid- to high single-digit percentage range. Commercial OE is projected to grow in the mid-teens. Within that, the share of spare and lease engines is higher than initially anticipated. Aftermarket demand is exceeding previous expectations. Accordingly, we upgraded our revenue growth forecast to low [indiscernible] supported by heavier shop visits and rising demand for the G90 engines. Improved turnaround times are also expected to contribute to a higher number of shop visits. The GTF MRO share is anticipated to be around 40%. These trends translate into adjusted EBIT growth in the low to mid-20% range. Adjusted net income is expected to grow in line with EBIT. The substantial upgrade in EBIT also translates into a stronger cash flow. As announced, we expect the free cash flow to reach a range between EUR 300 million and EUR 350 million. Rounding this up with a look at the tariff environment. Based on the knowledge at the time of the Air Show, we anticipated a growth impact from U.S. tariffs of approximately EUR 50 million to EUR 80 million. After applying mitigation measures, the net impact from that is included in our guidance. Especially on this topic, we have to elaborate a bit more with a more detailed view on the tariff environment. As mentioned, we have worked through the previously announced information to assess the potential impacts. The confidence on the topic allowed us to integrate the initial assessment into the guidance for the year. Anyway, there are new announcements and threats around. The U.S. administration is very vocal on tariffs on imports to the U.S. On the other side, impacted countries are openly consulting on countermeasures. At present, our approach remains focused on closely monitoring developments, potential changes to U.S. tariffs on EU goods as well as any countermeasures are under continuous review. However, the extent of their impact is currently not possible to seriously quantify. Before I hand over to Katja, allow me to reiterate what has been said many, many times in the last couple of months. Aviation is a global business with long-standing partnerships and a long history of working together to allow all parties involved to benefit. Not without reason, the sector was almost -- was mostly exempt from any tariff regimes as everybody acknowledge the benefits for all the companies involved, but also for the countries these industries are working in. With our partners, we are advocating a lot for [indiscernible] status to be reintroduced. With that, Katja, I hand over to you.
Katja Garcia Vila: Yes. Thank you very much, Lars, and also a warm welcome from my side on the phone. Now let's move on with a closer look at our financial performance in the first 6 months. Group revenues rose by 21% to EUR 4.1 billion, driven by strong growth in both commercial OEM. The commercial OEM business benefited primarily from high sales of lease and spare engines as well as a strong spare parts business. For the second half of the year, we anticipate a normalization in lease and spare engine sales with growing output in installed engines. Commercial MRO continued to benefit from sustained high demand for narrow-body engines. Adjusted EBIT increased by 40% to EUR 655 million (sic) [EUR 657 million], resulting in a margin of 15.9%. As mentioned, this results from a favorable mix in the OEM segment and improved profitability in our MRO operations, also supported by positive mix in customer and products. Adjusted net income grew in line with EBIT, reaching EUR 479 million. Free cash flow improved to EUR 212 million, as expected, impacted by GTF fleet management payments. This was offset by a strong cash contribution from the MRO segment in the first half of 2025 and improved EBIT performance. Let's have a closer look at our business segments. Let me start with the OEM division. Total OEM revenues increased 20% to EUR 1,411 million. Military revenues were down 5% to EUR 260 million, mainly due to delays in repair business. Commercial business revenues in euro rose 27% to EUR 1,151 million. Organic OE revenues in U.S. dollar were up mid- to high single digit. Within that, we saw a higher share of spare and lease engine sales. Organic spare part sales in U.S. dollar were up high-single digit. Main driver were narrow-body engines and mature wide-body platforms. Nonorganic revenue effects came mainly from U.S. dollar revaluation and hedging effects. EBIT adjusted in absolute numbers increased 44% to EUR 415 million, resulting in an increase in margin to 29.4%. EBIT was supported by a more favorable business mix in new engine sales and increased spare part sales. Let's move on to the Commercial MRO segment. Reported MRO revenues increased 22% to EUR 2.8 billion, while U.S. dollar revenues were up 23%. Main revenue drivers were the PW1100G, CF6-80, V2500 and GE90, GEnx and our lease engine business. GTF MRO share was at 35%, which is below our expectation for the full year, mainly due to the expected lower material intensity in the first half. EBIT adjusted increased 32% to EUR 241 million, resulting in a margin of 8.6%. The higher EBIT adjusted margin was the result of a better mix in independent business, while the share and material intensity of GTF MRO was lower. Additional support came from the at-equity joint ventures, especially MTU Zhuhai and EME Aero. Last but not least, let me share an update on our current hedge book. For 2025, we have already hedged more than 90% of our net U.S. dollar exposure. As a result, the EBIT sensitivity to a $0.05 movement in the U.S. dollar exchange rate is limited to approximately EUR 8 million. Looking ahead, we have hedged 60% of our exposure for 2026, 25% for 2027 and 5% for 2028. Based on the exchange rate assumption of USD 1.10 per euro used in our guidance, a $0.05 shift in the exchange rate would impact the revenue line by approximately EUR 370 million. Lars, would you like to give some additional remarks?
Lars Wagner: Yes. Thank you, Katja. Well done. Let me briefly wrap up what you've heard. We had a very strong first half of 2025 and made solid progress towards achieving the ambitious full year guidance we updated in June. We've also outlined our ambitious 2030 targets, revenues of EUR 13 billion to EUR 14 billion, a strong EBIT margin of 14.5% to 15.5% and a high double-digit cash conversion rate. This shows our confidence in the profitable growth in the years ahead. In the short term, we're making further progress on the GTF fleet management plan. We expect the AOG situation to improve in the second half of the year. This is supported by ramping up the GTF MRO output in our shops. This positive momentum is reflected in securing very strong orders for both narrow-body and wide-body engines. In addition to the record $1.7 billion in orders primarily for the GTF engine fleet, we're also seeing continued strong demand for GEnx engines powering the Boeing 787. To execute the growth potential, we are focusing on increasing capacity, making profitable investments and driving continuous improvement to ensure competitive cost structures and reliable delivery, both of which are essential for managing the pace of growth. That said, the current tariff environment is creating headwinds and uncertainty in the market. For now, we remain focused on closely assessing developments in that area and mitigate effects as effective as possible. This wraps up our presentation, and I'm handing over to Thomas again. Thank you.
Thomas Franz: Yes. Thank you. So now Ralph, please go ahead with the Q&A.
Operator: [Operator Instructions] We are now going to proceed with the first question. The question comes from the line of Mr. Robert Stallard from Vertical Research.
Robert Alan Stallard: All the best, Lars, for your future job. A couple of questions from me. First of all, I was wondering if you could give us an update on your latest prognosis on the supply chain and how that's going, particularly on the GTF engine. And then secondly, I was wondering if you could clarify what the net tariff impact has been so far in 2025 in the first half?
Lars Wagner: Okay, Robert, on the supply chain, generically, we say it's improving. What we have seen over the last couple of weeks and months maybe is some shortages of small parts, mainly due to the fire at the SPS facility in the U.S. But in generic terms, the supply chain runs well. What's always at question and where we see a very good development is the structural castings and the isothermal forgings from Pratt & Whitney for the powdered metal parts. Here, we have seen a major increase over the past couple of months and years. So that remains on a good track. I'm -- in a nutshell, I'm positive seeing the development of the supply chain improving.
Katja Garcia Vila: Maybe I do take the second question that you had regarding the net impact of tariffs. So far, for the year-to-date, we only have a very low impact for us. And looking at the full year, we do expect a net impact in the range of a high-single or a low double-digit impact on our EBIT.
Operator: We are now going to take our next question. The questions come from Chloe Lemarie from Jefferies.
Chloe Lemarie: So I just wanted to say congratulations on a good quarter, but I'll try my luck on a few technical questions and actually start with a suggestion. If you could provide in the future adjusted revenues and EBIT that strip out the impact of the FX balance sheet revaluation items, that would be very helpful. And so my first question is on the impact of this revaluation in H1. So could you clarify just how you define organic growth in commercial OEMs and what was the hedging and the FX element impact on that revenue line? Because my understanding was these FX elements are recorded within other revenues that you provide in the report, but these went down as opposed to the implied 20% growth that is essentially implied on Slide 8. The second question is on the impact on EBIT. Are there any offsets on the cost? Or is EBIT also boosted by these revaluation effects? And the third question is on organic spares momentum in Q2. If you could just comment on the comparison base, which I think was pretty strong and how we should think about the momentum into H2, including on pricing, please?
Katja Garcia Vila: So first of all, thank you, Chloe, for your questions. Regarding the first point, I think I will talk about that more in detail with Thomas. I don't think that we will break that down differently in the future, but we take that as a suggestion to review that. Regarding the revaluation effects, I think so far, there is no specific change to the approach so far with regards to how to treat the revaluation effects in total in the slides. And regarding a potential EBIT boost, I definitely do not see that. Regarding the development for the commercial spare parts in the second half, we have seen a little slow deliveries, especially on the PW2000 and the CF6-80 spare parts in the first half, which we do not expect for the second half, that would be an improvement, bringing us closer to the guidance. And in addition, you are right, we will see also positive impacts on the pricing for spare parts in the second half.
Thomas Franz: And just to add to that, on the organic growth rate, our guidance always embeds basically on new engine sales, a gross line, which basically is then a gross dollar growth, which imply that we have a higher spare engine mix in the bucket. The euro revenue is also higher as a lower level of discount's applied. And on the spare parts, the guidance is, as always, based on a net -- the organic growth rate as well as the guidance is based on a net revenue number.
Chloe Lemarie: Okay. So the OE is more volume than -- and doesn't necessarily reflect the mix. Is that correct?
Thomas Franz: That's why the reconciliation is a little bit tricky. But we are historically always guiding on a gross level because we are as a partner on GE and Pratt & Whitney, we are not necessarily distributing more information than the OEMs do. So we can't comment too much on the exact mix between new engines to Airframers compared to new engines to other customers.
Operator: We are now going to proceed with the next question from Ross Law from Morgan Stanley.
Ross Law: The first is just on MLS and how much revenues and profit that contributed in the first half? The second is just on the GTF share in MRO, which was 35% in the first half. That does imply quite a big step-up in the second half, close to half of revenues to meet that 40% share you're guiding to for the full year. So I just wanted to check, is that reality? Or is that just simply an element of conservatism? And then lastly, if I can just ask on defense sales, which were slightly lower due to repair delays. Can you just explain a bit more about the timing impact there?
Lars Wagner: Let me tackle the GTF question, Ross. I'd say this is reality. As we always said, it's back-end loaded, the increase of the GTF and MRO output. And that's what we see with the growth we have seen in the first half of the year compared to 2025. We believe this is doable and possible and necessary to decrease the AOG significantly towards the end of the year. And we see good turnaround times increase -- decrease -- improvement on the turnaround times. We see material availability going up. So yes, I'd say clearly positive, doable.
Katja Garcia Vila: Okay. And then I do take the question on the MLS topic. So as you know, we don't disclose those figures in detail, but what I can give you is that the contribution of the MLS business was comparable to the previous year, so for the first half. Any other question missed?
Ross Law: Just on defense, why sales were lower? Just a bit more details about the repair delays.
Katja Garcia Vila: That is just a seasonality topic. So we don't expect that to be a continuous issue for the second half of the year.
Ross Law: Okay. And which programs was that on?
Katja Garcia Vila: I think...
Lars Wagner: GE T408, J a little bit, but all this is going to be just fine in the second half of the year -- be limited.
Operator: We are now going to proceed with our next question. The questions come from Benjamin Heelan from Bank of America.
Benjamin Michael Heelan: I wanted to ask another question on OEM. Given that the spares rate on spare parts hasn't grown a lot in the kind of low single-digit range, it feels as though the majority of the profitability improvement in the quarter came from the spare engine and leasing sales. Is that fair? And can you just help us understand like why has this been such a massive tailwind versus kind of any other quarter historically, both in Q1 and in Q2? I just can't remember a time it's ever been so big. And is there anything noncash in there? Is there any kind of noncash gains that have been recorded in that number?
Katja Garcia Vila: Okay. So maybe what I can say, and this is also what we've commented on that we do have in the first half of the year an over proportional -- a stronger contribution from the sale of lease and spare engines, which we do not expect to continue in the second half to come. So we're expecting normalization during the course of the year. And there are no specific noncash issues included there.
Benjamin Michael Heelan: Okay. And then in terms of net debt, it stepped up in the period despite the cash being relatively strong in the first half of the year. Can you talk a little bit about the dynamics about why that's happened?
Katja Garcia Vila: Yes, sure, I can. So the increase in net debt is related to the previous announced acquisition of a license for maintaining the LEAP engine for the access to the program, we negotiated additional fees to secure the access over 30 years. And the additional net debt reflects these fixed payments from which none is due in the coming years.
Operator: We are now going to proceed with our next question. The question is from David Perry from JPMorgan.
David Howard Perry: Lars, can I also wish you all the best for the new role. I'm looking forward to seeing as Airbus delivery rates go up very quickly. So no pressure there. My -- just 2 questions, please. One, could you just give me an update on the GTF compensation? What was paid H1, what you expect this year, what you expect next year? Do you think there'll be any slippage into '27? Or are we still on track for finishing in '26? And then just a much simpler question on the FX revaluation that you have. Can you just clarify, does it definitely not have any impact on profit and cash? It's purely a revenue item? Is that the correct understanding?
Katja Garcia Vila: Okay. So let me start with the GTF compensation payments. So we do have -- we have had an impact on our cash flow in the first half of the year of approximately $150 million. $150 million, and we expect for the full year to have a similar impact as we had it in the last year, which was around USD 390 million. For 2026, we more or less expect around USD 200 million as an impact on our cash flow. And with regards to the FX revaluation, I'm not 100% sure if I understood your question right. I think what we have given you is a sensitivity of a $0.05 difference to our basic $1.10 hedge rate, which would imply an EBIT impact of around EUR 8 million within this year.
David Howard Perry: Yes. Sorry, on the FX reval, Katja, I was just referring to Chloe's point just about this difference between the organic and reported growth in the quarter, which obviously was a big impact in Q2. I just wanted to check that it only impacts revenue, not EBIT or cash.
Katja Garcia Vila: I think that is more -- the impact there is coming from the different -- not evaluation, on the spare and lease engines in the organic versus -- organic U.S. dollar growth versus the euro growth. So as Thomas pointed out, we treat the sales slightly different in the organic view compared to the euro view.
David Howard Perry: All right. But it's not impacting profit, is it? I just wanted to check that.
Katja Garcia Vila: No.
Operator: We are now going to proceed with our next question. And the questions come from Aymeric Poulain from Kepler Cheuvreux.
Aymeric Poulain: The first is around the share of spare engine sales. You say you expect a normalization, but you didn't quantify the percentage in the first half and what you expect as a normalized level for the full year. So could you give us a bit more quantification on that, please? And the second is on the move on the trade receivable. Obviously, the dollar spot rate can make quite an impact here, but there seem to be some costs associated to factoring. So do you use factoring? And if so, what was the level of factoring in the first half, please?
Katja Garcia Vila: Okay. Let me start with your question on the share. As you know, we don't disclose the exact share of the spare and the lease engine sales to the overall. What I wanted to point out with saying more normalization is I wanted to reiterate that during the first half, we do have some support from the spare and lease engine sales, which we do not expect to have in the same way for the second half just to manage expectations. And regarding the trade receivables and the factoring, I do not have any number in mind which would have had a significant impact here coming from factoring. But I would also ask Thomas to have a look at it in more detail. As I said, I don't have any information that we had something specific there. No.
Operator: We are now going to proceed with our next question. And the questions come from the line of Christophe Menard from Deutsche Bank.
Christophe Menard: I had 3. One is on the working cap. There was a big swing in Q2, around EUR 200 million. Can you give us a little bit more elements around this? The second question was on the equity accounts contribution. They literally doubled or more or less doubled in -- versus last year H1 to H1. What is -- how should we be looking at this contribution for the full year? And the last question is on the -- you mentioned spare parts, mature engines, CF6, PW2000. Why was there some sort of a delay on the procurement of those parts? Do you have any information you can share with us?
Katja Garcia Vila: Okay. Let me start with the equity contribution, which -- where the increases contributed mostly to our -- to the LeaseCo business. On the mature narrow-body engine spare parts supplies, we did have some issues also with the supply chain in that area, and this is why there were some delays in the supply overall. And with regards to the working capital swing, let me think about it. I think there are some changes between the accrual we had built for the -- there's a swing between the accrual we had built for the GTF program where we have continuously issued further credits, which are now part of the receivables of the working capital -- which are now part of the working capital. Yes.
Christophe Menard: Okay. And just on the equity account, you said it's the LeaseCo. Is it commercial? I mean, just to understand clearly, is it commercial and military? I mean, that part of the equity account or essentially the MRO part that contributes all of them?
Katja Garcia Vila: It's the ERE LeaseCo, which is part of the OEM business.
Operator: [Operator Instructions] We are now going to proceed with our next question. And the questions come from the line of Milene Kerner from Barclays.
Milene Kerner: I have 3, please. Katja, sorry if you already answered the question. My line is very bad. Beyond the expected normalization in spare engine, could you elaborate the key drivers behind the expected moderation in your profit in the second half relative to the first half, if any? My second question relates on -- to the GTF. So RTX guided to a meaningful reduction in the AOG in H2 attributable to the MRO output growth. As you're a key MRO partner, what gives you confidence that the AOG level will indeed decline? And what are the key risks that could derail the expected improvement in the second part? And then Lars, I will echo all my colleague wishing you the very best at Airbus. As your successor is sitting next to you, what advice would you give him? And what are any specific lesson or insight from your time at MTU that you think you could -- I mean, pass on to him, anything that could be valuable?
Katja Garcia Vila: So Milene, before I have Lars answer the last 2 questions, let me just reiterate. We do expect, let's say, a normalization or a change in the mix of the engines in the OE side and also a slight change in the mix of spare parts. This will be the influencing factors for the second half profitability. And maybe, Lars, I can now hand over to the GTF topic.
Lars Wagner: Thank you for the questions, Milene. Maybe first, some rational GTF. The indicators that give us confidence and secureness is obviously the turnaround time going down. It's always -- once material is available, the turnaround time shrinks. And we can see that we share this knowledge with each and every shop in the world. I know that the colleagues at Pratt are working hard to increase material output. We are seeing a growth of the MRO output of 22% compared to last quarter to last year's quarter. 30% has been given at the [ Arctic ] call as a guidance to increase MRO output on a yearly baseline, and I'm confident to see that. The clear risk is always material, nothing else. But again, like I stressed, they are increasing their supply chain. So I'm confident we will see that. And then on the emotional one. Johannes, first of all, it's a great team behind everything what we communicate today. So I'm confident everything what we have laid out, very confident for the 2025 figures, but also for 2030 is achievable. And look at the execution of the MRO output, but also OE ramp-up and be a major player in the technology advancements, both on military and civil, and that's the ingredients for a successful continuation of the story of MTU Aero Engines. I'm pretty happy, very happy to see both of my colleagues here, Katja and Johannes at the table, and I will comment that in my last sentence later on, Milene. Thank you for that question in capital market call.
Operator: We have no further questions at this time. I will now hand back to you for your closing remarks. Thank you.
Thomas Franz: Yes. Thank you. So this time, it's not on me to close the call. I hand over to Lars. More Lars time, I guess.
Lars Wagner: Milene, it was a perfect timing then. So guys, obviously, thank you very much for everything. I'd like to take this moment to say goodbye and sincerely thank you for that trust for the collaborations, the many valuable conversations over the past year. It's been a pleasure talking to you, seeing you working with you. I'm looking forward, obviously, to staying in touch and hope to reconnect with some of you in my new role. Like addressed already, Johannes is here, Katja is here. Well done, Katja, for your first H1 figures here on MTU side. So I obviously hand over the Q3 call then to Johannes and Katja. Johannes, as you know from the communication, will take over as CEO of MTU on September 1. And I'm stepping down, leaving the company at the end of October. And in the meantime, I stay in the background, very, very background to support if any other question comes up. Again, thank you very much. It has been a great pleasure working with you and seeing you in that industry again soon. Thank you very much.
Thomas Franz: Thank you. And now that's really the end for this call. For further questions, reach out to the IR team. And yes, enjoy the rest of the day.
Operator: We want to thank Mr. Lars Wagner and Ms. Katja Garcia Vila and all the participants of this conference. Goodbye.